Operator: Ladies and gentlemen, thank you for standing by for Autohome’s Second Quarter 2014 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. As a reminder, this conference is being recorded. (Operator Instructions) It is now my pleasure to introduce your host Cara O'Brien, from FIT Consulting. Ms. O'Brien, you may begin.
Cara O'Brien : Thank you operator. Hello everyone and welcome to Autohome’s second quarter 2014 earnings conference call. Earlier today Autohome distributed its earnings press release and you can find a copy on the company’s website at www.autohome.com.cn. On today’s call we have Mr. James Qin, Autohome’s Chief Executive Officer and Mr. Nicholas Chong Autohome’s Chief Financial Officer. After their prepared remarks, James and Nicholas will be available to answer your questions. Before we begin please note that the discussion today will contain forward-looking statements made under the Safe Harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. Forward-looking statements are subject to risks and uncertainties that may cause actual results to differ materially from our current expectations. Potential risks and uncertainties include but are not limited to those outlined in our public filings with the Securities and Exchange Commission. Autohome does not undertake any obligation to update any forward-looking statements except as required under applicable law. The earnings press release in this call also includes discussions of certain unaudited non-GAAP financial measures. The press release contains a reconciliation of non-GAAP measures to the most directly comparable GAAP measures and is available on Autohome’s IR website. As a reminder, this conference call is being recorded. In addition, a webcast of the conference call will also be available on Autohome’s IR website. I will now turn the call over to Autohome’s Chief Executive Officer, Mr. James Qin. Jim?
James Qin: Thank you Cara and hello everyone. I’m very excited that we’re reporting another strong set of results for the second quarter of 2014. We again exceeded our expectations for the top-line and recorded very healthy profits in cash flow. Also we have made additional important progress across all of our four key strategic initiatives and make significant steps forward in exciting new areas such as online transactions. And importantly, we continue to demonstrate to our customers and users that Autohome is the clear leader in China’s auto online sector in terms of the value of our media assets and the value of our transactional platform. Nicholas will go through our second quarter financial results in detail in a moment, but let first highlight some of our most important achievement for the second quarter. Looking first at our key financial metrics. Our net revenue increased 72% year-over-year to RMB506.8 million. Net income increased 69 % year-over-year to RMB206.3 million. Net cash provided by operating activities increased 189% year-over-year to RMB163 million. Similarly, in terms of our key operational metrics I’m very encouraged to note that Autohome remains a clear leader in the industry. In terms of PC traffic, according iResearch Autohome continues to lead China’s automotive websites and other automotive channels on Internet portals across all of the most important metrics, average daily unique visitors, average daily page views and average daily time spent. Our PC-based unique visitors and average daily page views in the second quarter were 6.8 million and 127.3 million respectively. Average daily time spent per user increased from 15.4 minutes in the second quarter of 2013 to 16.3 minutes in the second quarter of 2014. On the mobile front, in the months of June the number of average daily unique visitors who access our websites via mobile devices and the number of average daily unique visitors to our mobile applications amounted to approximately 2.9 million, 2.3 million respectively. This represent a growth of more than 20% in the total number of average daily unique visitors on mobile platforms compared to March of 2014. We’re continuing to invest strategically in mobile technologies and our expanded R&D team is working hard to create new products particularly in terms of the mobile app development and enhancement in order to capture more of this promising market. These are very encouraging results and reflect how continued successful execution of our clear strategy for growth is driving strong performance. Now let me update you on some of the other important progress we have made in the last quarter across certain key initiatives that are part of our growth strategy. First, as you know we’re very focused on increasing our share of wallet from automakers. I’m pleased to report that our advertising revenue growth from automakers continues to exceed the overall growth rate of auto online advertising and of our peers. In the second quarter of 2014, Autohome’s advertising revenue from automakers grew by 46% versus the same period of last year. This clearly demonstrate that all the makers in China increasingly recognized the media value of that Autohome offers. They see that we have unrivalled reach among potential car buyer and car enthusiasts and we understand that advertising spend on our website will generate an ROI that no other auto vertical or media outlet can match. Another pillar of our strategy is to increase and further monetize our dealer network and again we are making great progress here. Our revenue from dealer subscription service has increased a 109.6% year-over-year in the second quarter of 2014. This growth was driven by a record increase in the number of paying dealers on our network, which grew by our hugely impressive 86.3% year-over-year to 13,693. This improvement is a clear result of our efforts to build out our dealer network beyond only tier 1 cities. With the majority of this newly joined dealer subscribers coming from fast gross markets in tier 3 and tier 4 cities. This also demonstrates how dealers are increasingly recognize the value of our platform in terms of generating meaningful sales lead for our subscribers. While we talk about dealers, I do want to flag that in addition to subscriber growth we have reported a very impressive growth rate of 131.2% in advertising revenue from dealers’ year-over-year. Again this illustrate the value of the ROI that our media entities offer to our advertisers both automakers and auto dealers. All in all, our dealer yellow page business, which includes post dealer advertising services and dealer subscription services grew significant with year-over-year increase of 117.6% in a second quarter and it contribute 45.6% to our total net revenues. This market leading position reinforces our ability to monetize our dealer network and deepen our cooperation with them and the further validate the media and platform valid that Autohome can offer. Our third area of strategic focus is to build out our offering in the used car sector. Although this is still an early stage sector in China. We are continuing to cultivate this market and due in the second quarter we made further progress here. With respect to our used car platform, we’re very focused on enhancing user experience and we’ve introduced a several new investments to our platform. We’ve also continue to work on spending the used car listing to strength in user engagement as part of this, the number of used car listing on company’s platform has almost tripled compared with same period a year ago. Looking to long term, I’m confident that we’re well positioned to grow our position in this market and establish a strong foothold in this business. Before I conclude I want to highlight two important strategic initiatives that I was calling out in detail. First, we became Baidu's exclusive partner to provide the information such as model descriptions and pricing to enhance auto-related searches on PCs using Aladdin, Baidu's open platform. This significant new partnership covers a 12-month period and officially began to ride first and its generating results in line with our expectations. We are also encouraged that since beginning of our cooperation with Baidu's Aladdin platform, there was a pretty positive impact. In the first four weeks of July the number of average daily unique visitors on PC was 7.4 million just that the partnership has been immediately beneficial to our corporations and results expected to have great long term contributions with the business. Second, managing to what we are calling transaction platform services. Something we see as an important growth area for Autohome, considering our unrivaled reach among dealers, automakers and highly motivated car buyers and our ability to generate meaning sales fleet. This is the area we have been working on for some time and in the second quarter we introduced some exciting new initiatives. This is an area we’ve been working, first, in April; we conducted our second major online sales promotion event, following our hugely successful November 11 online campaign in November of last year. This April promotion targeted select provinces where the November 11 promotion performed well and was well received by dealers and automakers; this was a four day campaign that encourage users to purchase vouchers that could be used to obtain discounts from participating dealers. More than 1,700 people purchased the vouchers during the four day campaign and by the end of the month approximately 550 were used for car purchases with a total value of RMB80 million. Second, in May we launched another promotional campaign in partnership with China based automaker Chery. The promotion involved a presale campaign to promote Chery’s latest model, the Tiggo 3. By July 15, the promotion result in over 2,200 preorders, which brought over more than 1,000 transactions valuing more than RMB80 million. This was our first trial on car pre-sales and we are very pleased with the overwhelming results which highlight our ability to generate highly relevant sales lead and deliver tangible sales result for automakers and dealers. It also demonstrated how our flexible O2O platform could be leveraged for focused promotional programs targeting specific automaker customers, car brands or geographies based on customers need. After these successful trials, in June, we formally launched our own transaction platform Autohome Mall; the URL is mall.autohome.com.cn. This is an online platform that will allow us to be a long-term transaction facilitator. It was important milestone to mark our transaction business which has switched from 12 bases into a permanent sustainable platform. In the first month following the formal launch Autohome Mall has already facilitated over 3,000 transactions in mall we have 137 car models from 36 car brands. We’re encouraged about our achievement so far and we believe this highlights the value of this platform for marketing partnerships and promotions. Currently established Autohome Mall we see a lot of opportunities in our transaction business in the future. In both existing car sales as well as car presales we will continue to explore ways to boost our transaction business and we’re confident in Autohome’s ability to generate a meaningful sales leads with high conversion rates. Before I turn the call to Nicholas I would like to summarize a few last things. First, we have delivered very strong results in the second quarter and it is clear that our multi favorite growth strategies are working, both operationally and financially. As such I’m very confident that we are formally on the rights back to achieve our near and long term strategies goals. Second we’re transitioning our company from being an only PC oriented company to be being both a mobile and PC oriented company. We’re investing heavily in this transition. This has already delivered a very solid result in this early stage in the form of strong traffic growth. And we anticipate to continue the positive momentum going forward. Finally, we’re also expecting all the results of our transaction initiatives and the launch of our new transaction platform Autohome Mall which we believe provide another potential long-term growth driver. With that I turn the call over to Nicholas.
Nicholas Chong: Thank you James, hello everyone. As James noted we’ve posted very strong results for the second quarter coming ahead of our initial expectations. Let me spend a few minutes to drill down into those numbers and talk you through some specific details for the second quarter. Note that I will reference RMB only in this discussion, but you can find equivalent U.S. dollar numbers in our press release issued earlier today. Net revenues for the second quarter increased 71.8% to RMB506.8 million from RMB295 million in the corresponding period in 2013. This increase was due to increases in revenues from both advertising services and dealer subscription services. Looking this Advertising services revenues for the second quarter of 2014 increased to RMB366.2 million from RMB227.9 million in the corresponding period in 2013, as we increase was due to an increase in revenues from both automaker advertisers and dealer advertisers. Revenues from automaker advertisers and dealer advertisers accounted for 75.3% and 24.7%, respectively, of total advertising services revenues for the second quarter of 2014. Breaking this down further, advertising services revenue increased 60.7% to RMB366.2 million from RMB227.9 million in the corresponding period in 2013 as the increased revenues from both automaker advertisers and dealer advertisers. The increase in automaker advertising services revenue was primarily due attributable to an increase in average revenue from automaker advertisers. As automakers continue to allocate more of the advertising budgets the Autohome’s online advertising channels. The increase in deal advertising services revenue was mainly due to an increase in the volume of advertising, purchased by dealer advertisers as a result of our expansion into new geographical markets and deeper penetration into existing markets. We also increased the rates for our dealer advertising services. Turning to dealer subscription services, revenue increased 109.6% RMB140.6 million from RMB67.1 million in the corresponding period in 2013. This was mainly due to an increase in the number of paying subscribers as we’re spending into new geographic markets and gain deeper penetration into existing market as well as an increase in the share wallet from the dealer customers during the second quarter. As Jim has noted, we sold dealer subscription services to 13,693 dealers in the second quarter of 2014 compared to 7,351 dealers in the corresponding period in 2013 which is very encouraging. Cost of revenue for the second quarter increased 61.7% to RMB93.5 million from RMB57.8 million in the corresponding period in 2013, due to increases in value-added taxes and surcharges, content related costs, bandwidth and IDC cost and depreciation. The cost of revenue included share-based compensation expense of RMB2.3 million and RMB1.6 million for the second quarter of 2014 and 2013 respectively. Operating expenses for the second quarter increased 75.3% to RMB160 million from RMB91.3 million in the corresponding period in 2013. As a percentage of net revenue operating expenses for the second quarter increased to 31.6% from 30.9% in the corresponding period in 2013. As we have been continuously reinvesting in key strategic areas such as sales and marketing and product development to fuel our business growth. Breaking this down further, we increase the headcount in both sales and marketing and product development as we hire more experienced sales people to provide better service and support to our important customers and added product development and other administrative stuff to support our growing business. We also increased marketing expenses in connection with the promotion of our brands through navigation sites and mobile platforms. In addition to these increases in compensation and marketing spend increased profession fees as a result becoming a public company. Lastly, we invested in growth initiatives on the product development site such as a mobile initiative that James outlined earlier. Operating profit for the second quarter increased 73.6% to RMB253.3 million from RMB4145.9 million in corresponding period in 2013. All in all, net income for the second quarter increased 68.8% to RMB206.3 million from RMB122.2 million in the corresponding period in 2013. Basic and diluted earnings per share and per ADS ("EPS") for the second quarter were RMB1.96 and RMB1.83 respectively, compared to basic and diluted EPS in the corresponding period in 2013 of RMB1.22 and RMB1.21, respectively. Adjusted net income, which is defined as net income excluding share-based compensation expenses and amortization expenses of intangible assets related to acquisitions, increased 68.4% for the second quarter to RMB219.6 million from RMB130.4 million in the corresponding period in 2013. Non-GAAP basic and diluted EPS for the second quarter were RMB2.08 and RMB1.95 respectively compared to Non-GAAP basic and diluted EPS in the corresponding period in 2013 of RMB1.30 and RMB1.29 respectively. Turning to balance sheet and cash flow information, as of June 30, 2014, Autohome had cash and cash equivalents and term deposits of RMB1,571.2 million. Net cash provided by operating activities in the second quarter of 2014 was RMB163.0 million compared to RMB56.4 million in the corresponding period in 2013. Let me now address our outlook for the quarter ahead. For the third quarter of 2014, we currently expect to generate net revenues in the range of RMB507 million to RMB528 million representing a 53.1% to 59.4% year-over-year increase. Again I must mention that these comments on our outlook reflect our current and preliminary view on the market and operating conditions, which are subject to change. So, let me conclude by noting that very recently Autohome received prestigious accolades for investor communications around our IPO in December 2013. PRWeek Asia, a leading trade media outlet and an international PR Association, a global public relation industry organization named Autohome’s IPO the financial communications and investor relation campaign of the year for 2013 respectively. We are pleased to receive these awards, which highlight our strong commitment to best practices in communications with you, our investors. This concludes our prepared remarks and now we would like to take any questions you may have. Operator, please open the line for Q&A.
Operator: (Operator Instructions) Your first question comes from the line of Evan Zhou from Credit Suisse, your line is open, please go ahead.
Evan Zhou - Credit Suisse: Hi, good evening James, and congrats on a very strong quarter. My first question is regarding our transaction platform. So, these 3,000 transactions we have done in the past month. It's a very impressive number I have to say so. So, I would like to pick your brain on some of the quarters there, what do you expect that run rate to continue going forward, and within that 3K transactions, actually how many coupons are actually sold and what kind of conversion that we see from this transaction platform to help dealers to make the deals? Thanks.
James Qin: Okay, so the number we gave on our results 3,000 transactions and among that I think majority of the transaction are done on the cash coupon basis. So basically, we have done about four different types of so called online transactions. Cash coupon is a very -- majority of transaction will be done in a cash coupon format. And another sort of relatively big portion will come from the presale version. And the other two versions which is fixed price and customized car only for Autohome, those are kind of very small portion and I think it’s very early probably it’s too early to tell going forward what the spilt or the trend would look like, because at this point it’s pretty much depending the capability of Autohome to source product from either the dealers or carmakers. So, I am not sure if I answered you question, so I think 3000 per month, no this is per month, right? First month is only a beginning and we haven’t really put a full gear in term of sourcing product from dealers and carmakers, but I think we have done the full sales cycle which is very encouraging.
Evan Zhou - Credit Suisse: Understood. Thanks, James. That's very helpful. My second question is regarding the mobile exposures. You have around like 2.9 million on mobile wap and 2.3 million MAU, on mobile apps. I'm wondering, how do you see that breakdown then going forward? Do you see that in all the verticals that users tend to use more mobile wap or tend to -- probably web information within the app, and how do you see the user behavior differences between the web and the app within all verticals?
James Qin: Okay, this is a great question. I think currently you can say that we have a little bit more users access our servicing through mobile wap than mobile app. I don’t have the industry data. I think it depends my guess is the content oriented company tend to have more users to visit through mobile wap while transaction, the pure transaction platform will tend to have more users to use the application services rather than through the mobile wap. But I think in our line of services, I think the mobile wap at this point has more user base is very natural. Few times I think that might change, it really depends on the bandwidth it really depends on the product capabilities. So that’s the first thing about the split between mobile wap and mobile app. Secondly, I think your question is that whether or not there is major difference between the user usage pattern between the mobile wap and mobile app. Currently, we didn’t see we haven’t seen a very clear difference, so from our point of view they almost seems to be very similar.
Operator: Your next question comes from the line of Vivian Hao from Deutsche Bank. Your line is open. Please go ahead.
Vivian Hao - Deutsche Bank: I have two questions. One is regarding our operating margin outlook, especially on the sales and marketing side. For the second quarter, we still have a very strong margin of 43% on bottom-line, and what is the outlook for the rest of the year, especially factoring the PC Aladdin cost? This is my first question. My second question is on the -- as for the second quarter traffic seems to be slightly weaker than first quarter. Is it because of seasonality or other reasons? Thank you.
Nicholas Chong : So Vivian let me handle the question on margin. I think for 2014 year-to-date, we have posted very strong performance overall in terms of both revenue and margins. We have also been able to gain operating leverage as evidenced by the increase in the gross profit percentage. As communicated before and since the IPO road show, we were continued to reinvest in future growth opportunities in area like mobile, sales and marketing, product development and in new businesses like used car transaction business et cetera. So for 2014 we expect the non-GAAP net margin with the similar to what we have averaged in this area for the last three calendar years. So you could think higher than mid 30s, so keep in mind though that we do not presently provide formal guidance on our margins and bottom line.
James Qin : I will take the second part of the second question. I think I just want to clarify you’re asking about the PC traffic or you’re asking about the mobile traffic or both? PC traffic, okay, so there is one number I don’t have which is the industry average growth because we can always deliver higher than industrial growth but we cannot grow out of the industry I’m not sure when you say I think probably from the absolute number our Q2 DAUs growth is slower than the Q1 growth but I don’t have the current rate, I do not have the industry average growth from Q2 compared with Q1. So, I don’t really know whether or not that absolutely growth rate slowdown means anything.
Vivian Hao - Deutsche Bank: Okay. So this is not a trend for now, we need to compare with the industry growth.
James Qin : Yes, I think first you need to compare with the industry growth and secondly because everyone knows the PC DAU growth for the whole sector is topping off, is slowing down. When we roll our PC DAU shares, we’re basically taking the shares from our peers. I’m pretty sure in July our DAU growth by certain percentage and hours can attribute to the PC Aladdin fact. By doing that we’re taking share from our peers.
Nicholas Chong : Yes, I think just to add on to that I think as you can see from our earnings release we say that in June, we have 6.8 million for PC DAU say in the month of July it has increased to 7.4 million DAUs.
Operator: Your next question comes from the line of Piyush Mubayi from Goldman Sachs. Your line is open, please go ahead.
Piyush Mubayi - Goldman Sachs: Thank you James, Nicholas, congratulations on your number. Just two questions from me. The first is when I look at the ARPU, it went up nicely in the quarter, and I think you mentioned that rates also went up during the quarter. Could you just run me through what are the rate increases you were able to push through and should we think of these as being an annual event potentially in the second quarter? And the second question I have is relating to when you talked about the 550 cars purchased for RMB80 million, were you referring to the Guangzhou Auto Toyota Show? On the e-commerce Mall or was it a different car, could you just remind me of that? Thank you.
James Qin : Yes, I think on the first question -
Nicholas Chong : Okay, that clarify when you say ARPU you’re meaning on the dealer subscription services or the blended of dealer subscription services plus dealer advertising services.
Piyush Mubayi - Goldman Sachs: The dealer subscription.
James Qin : The dealer subscriptions services.
Piyush Mubayi - Goldman Sachs: Or either blended. When you mentioned rate increase which were you referring to?
Nicholas Chong : Yes, I think our dealer subscription service went up by about 109% on the revenue side and then the ARPU it’s about 86.3% of that is coming from volume increase because our number of paying dealers has gone up by 86. So the ARPU actually gone up by about 12.5% because we’re able to pick some price increase in the dealer packages and some of it is also because the dealers move up on the base package to the premium package because we offer both the basic and a premium package in our dealer subscription services.
Piyush Mubayi - Goldman Sachs: And what is that premium amounting to for the quarter from basic to the premium package?
Nicholas Chong : I think we don’t have the number.
James Qin : We don’t have the number on top of my head.
Nicholas Chong : The number should be good.
James Qin : Yes, we can get back to you on that. But I think point you highlight is that what we’re saying is that because we’re able to not just only grow in terms of the numbers of paying dealers but we obviously able to increase ARPU.
Piyush Mubayi - Goldman Sachs: The second question is about, there was a car sales event which we sold about 500 cars and the result is for RMB80 million, right?
Nicholas Chong : That is the April promotion that we’ve done over four days period.
Piyush Mubayi - Goldman Sachs: That was in three provinces, right?
James Qin : Yes, in three provinces the Guangdong -
Nicholas Chong: No, that 80 million is for - Tiggo 3 that was a pre-sales.
Piyush Mubayi - Goldman Sachs: Pre-sales, okay. There was a more recent one that we read about which was Guangzhou Auto Toyota that was much broader in its reach I think it was 30 provinces?
James Qin : Well, does that Q2 or is already –
Piyush Mubayi - Goldman Sachs: That is maybe of after Q2.
Nicholas Chong : Yes that’s Q3.
Piyush Mubayi - Goldman Sachs: Okay. Is there any color you could shed on how that's progressed?
James Qin : We can always talk about that in the next earnings call. I think for the transaction services, before June, mainly we’re trying to running more trial runs in order to get a better feeling of how to source a product, how to talk with the car makers, how to talk to the regional sales offices of car makers and dealers. And on the, when we launch the Autohome model that was the time we start to launch the products sourcing effort. And I think throughout a second half of this year we’re going to do more of that and to all the effort we should be able to see most of those efforts.
Nicholas Chong: And Piyush just a view on what James has said, I think if you look at the more autohome.com in the first month we have 36 brands involve and 137 models and right now by end of July we have increased from 36 brands to 47 brands and then the number of car models have increased from 137 models to 195 models. So that’s what James is saying that we are trying to source small brands and more models to incorporate into the --
James Qin: I got the lines Piyush is referring to. Basically before we launched the model we did two meaningful events we would like to share with you. The first one is the, we call them April 15 is around the April 15th for the event happened in three provinces, in the number of selected brands and that was the 550 vehicle purchased. And the next one is the Tiggo 3 is a pre-sale promotion. We’ve got a sales meet and the most people paid out first and then they can buy a latest model of Tiggo 3 from Chery that was the second sort of meaningful trial event we have run. And that’s one I think sort of still ongoing.
Operator: Your next question comes from the line of Ella Ji from Oppenheimer. Your line is open. Please go ahead.
Ella Ji - Oppenheimer: Thank you. Congratulations on strong quarter. I have a few detailed follow-up questions. First, relating to your transaction services line. I saw that you recently started to work with JD.com and just wonder what are you seeing the trend there, how much sales lead is JD providing you versus your organic traffic. And also within that 3,000 transactions you did in June, how many of that are coming from the mobile side? And then I also wonder if management can talk about your revenue model for this business line. So it seems that for such transaction services for now you’re collecting money from the buyers, from the customers. Any thoughts also maybe getting revenues from the dealers or are you going to just focus on revenue source from the customers for now.
James Qin : Okay. So I’ll answer the second question first and then I’ll refer to, I’ll talk about Jingdong. The second question is whether or not, how we’re going to treat the revenue lines from those transactional services. Yes, we do collect some deposit money from the users and once consumer bought the car we’re not going to return the money back. However, we also provide some discounted backup by our self as marketing expense. So from my point of view is we don’t really, our intention is now to generate a meaningful revenue from those kind of events. However, I think as a Internet company you always focus on creating value for the whole industry I think right now is our investment in doing that business. Basically help facilitating China’s auto consumer to buy car over the Internet rather than go through the dealers. So we try to be part of that transactions loop. So in order to do that right now our intention is definitely not to generate a lot of revenue from that kind of business so if I were you, I would not have huge expectation from Autohome generate that revenue line especially in 2014. The first part of your questions about Jingdong, we did have a very successful co-branded sales event with Jingdong. However we -- because we signed a confidentiality agreement with Jingdong probably we’re not in the position to share with you the traffic split and the sales split. All I said that was the very successful event and going forward you’re going to see a lot more of that. It may now be Autohome work with the Jingdong alone we are in the process of working with majority of China’s large e-commerce providers, because as I mentioned in the first part of my answers we’re in the process of invest our resources and energy to cultivate this market. We want to change consumers’ behavior.
James Qin: Okay you also asked about the sales lead from mobile in June about the transaction services. Unfortunately -- because -- the Autohome Mall, the mall.autohome.com.cn is easier to visit through the PC service at this point, so I would assume majority of the sales lead probably is not all from the PC at this moment.
Vivian Hao - Deutsche Bank: Okay. Thank you for the color. Just relating to that -- I think you know your competitors are increasingly focusing on mobile. And our understanding is that they also get Baidu alerting on mobile. So can you talk about your thoughts of for example facilitating transactions on a mobile and in what does Autohome plan to do on the mobile end in order to create more value for the users?
James Qin: I can tell you what we have done. I think every single internet companies at this point focused on building their mobile user base. That’s for sure and Autohome is definitely one of those companies. If you look at the mobile user coverage, there are two types of mobile services one is the mobile wap the other one is mobile app, mobile A-P-P. And I think your question towards me is about the mobile wap and for mobile wap basically any mobile wap like Autohome is a mobile wap or some of our peer mobile app will have mainly three sources of traffic. The first one is from sort of the overflow from your PC client, those people who visit your PC very often and then when they use their mobile browser they tend to directly go to your mobile sites so that’s one. And secondly is through browser because majority of China’s mobile browser company provides similar services such as navigation, so that’s one. I think the third one you mentioned is the search. Currently in China’s mobile search area, there is only one that my change in near future because UCWeb is going to introduce some [indiscernible], I think in this month. But having said that, before there was only Baidu's mobile search and Baidu's mobile currently we only the provide show up as a net natural search readout. So if you think about the mobile wap traffic acquisition you have to think about three things. If you have a better PC traffic, you naturally will have your mobile wap traffic. If you have better navigation services where you have more exposure over there, you have better traffic acquisition. If you have more exposure on the Baidu’s mobile search, yes, you’re going to be better. So there is a multiple way to increase the mobile wap. So having said that, there is another mobile app currently I would assume half of the -- because for the auto users majority of the auto users tend to affluent, so I would assume the IOS penetration among China’s auto users will be higher than in general population. And everyone knows IOS platform, there is no way you can buy traffic, you have to create the best product in order to get more user download and the user engagement. And other part is the Android platform, in China there is are several Android application stores so you either provide best of the services and they rank you higher in terms of natural ranking and also you can also spend margin dollars to do that. So I think we all know the roadmap and how to navigate among China’s various APP stores, it’s just natural process. I think every company like such as Autohome, we focus to do better in terms of increase the viability of our mobile services for example among some of our shared services such as technology and product investment, in the past in 2013, we also created features PC first and then according to mobile. And since beginning of this year, we already changed that we -- most of the features we create on mobile first and then we put it back to PC platform. So that’s our take on the mobile strategy.
Vivian Hao - Deutsche Bank: Yes, thank you very much. That's very helpful. Then my second question is relating to your guidance for next quarter. Just looking at the number, it seems the year-over-year growth is little lower than the prior two quarters guidance. Just wondered if just management being conservative about it or is there anything that you want to bring to our attention?
James Qin: You are right that the fifth quarter year-on-year growth is lower. I think that’s basically we also look at the last two years we look at the Q3 year-on-year growth rate has always been lowest quarter in the last two years. I think you can say that we are on the prudent side.
Nicholas Chong : This was to sum with there was nothing special we’ll also bring your attention.
Operator: Your next question comes from the line of Gene Munster from Piper Jaffray. Your line is open, please go ahead.
Gene Munster - Piper Jaffray: Good evening and congratulations and special congratulations on the transaction business. And I know you've talked a lot about that this evening, but if we think about that business longer term and you've touched on this; but if we think about that longer term, can you walk us through or that -- how that should impact the growth rate maybe in 2015? And when we should start to feel that we can model more of that into our estimates?
James Qin : That’s a good question. We actually haven’t really planned the revenue generation on the transaction business I think in general that will have some uplift to our revenue because things in other ways it basically relate the sales lead conversion more apparent to anyone within the industry, because now we cannot only say we convert a way we’ve certain percentage of conversion - we can basically say, if you have a need for example some car makers have a need in the second quarter to boost up their sales. Now, is that only time we can provide our services in the past there was no way we can provide our services. So, I think this is definitely we’ll have some positive impact. However, we actually haven’t really planned out our revenue generation model on those type of a business because business is still evolving, because currently we actually haven’t really done track the all the payment upfront and deliver the cost to the dealer itself, we haven’t done that, we really want to see that but so far it’s just not happening yet. So, I think probably only after that then I can revert to your question.
Gene Munster - Piper Jaffray: Let me ask you think, do you think there will be a point in the next two years where this starts to be incremental to the model or is it something that is just kind of driving a broader platform?
James Qin : Well, it would be - two to three years access, if we really put this off, it’s going to be disruptive for us in the whole industry and a lot of people’s business model is going to be changed.
Gene Munster - Piper Jaffray: Okay. I kind of think of this two to three years out versus one year out.
James Qin : Sorry.
Gene Munster - Piper Jaffray: I was saying we should think about this two to three years out versus one year.
James Qin : Yes.
Gene Munster - Piper Jaffray: Excellent, thank you.
Operator: Your next question comes from the line of Philip Wan from Morgan Stanley. Your line is open, please go ahead.
Gina Chen - Morgan Stanley : Hi, James and Nicholas, thank you for taking my questions. This is Gina Chen asking on behalf of Philip. My question is regarding the growth of subscribers. Your subscriber number increased by 86% year-on-year, which is quite impressive. So I guess most of the incremental subscribers are from non-tier 1 cities. So could you please give us some color on your subscriber penetration in non tier 1 cities, including the historical numbers and the car number? Also, how does it look like compared with the penetration in tier 1 cities. Thank you.
James Qin : Okay. So, the growth rate of tier 2 to tier 3 cities in Q2 right?
Gina Chen - Morgan Stanley : Yes, second quarter.
James Qin : Hold on, let me get that number to you. So, except tier 1 cities currently our growth rate for 2000 Q4 was 86%.
Nicholas Chong : In our category that is called the class. BCD but you know what basically it tier 3, tier 4 in your definition because our all categories are little bit different from the general conditional tier 1, tier 2, tier 3, tier 4. So majority the 86% is except the tier 1.
Gina Chen - Morgan Stanley : Okay, right. And how about the penetration rate?
Nicholas Chong : The penetration rate I can’t give that majority of the tier 1 cities at this point is 80% and in Tier 2 cities is close to 80% and Tier 3, Tier 4 only Tier 3 is positive Tier 4 even lower.
Nicholas Chong: One thing to highlight the percentage that was shared just now there are number paying dealer divide by those registered dealers rather than divide by the total number of available dealers in the market.
Gina Chen - Morgan Stanley: Okay, you mean the total dealer doesn’t include some second level dealers or?
Nicholas Chong: Yes, I think the parentage that was shared just now for example we have 13,693 paying dealers, and the percentage that was quoted just now by James was over the total number of registered dealers that we have about 32,000, 33,000 and not versus the 30,000 authorized dealers that we have in total China.
Gina Chen - Morgan Stanley: Got it. Also, I have a follow-up question on the mobile, the first elimination before. Yes, James, you said there will be three major traffic sources for the mobile websites. So could you please share how much revenue is from use see browser right now?
James Qin: So from mobile browser?
Gina Chen - Morgan Stanley: Yes, right.
James Qin: Unfortunately, we don’t disclose that number for now, but I can tell you sort of rush another two type of revenues we currently generate from the mobile platform. Majority is the dealer subscription. The dealer subscription is the fixed subscription that cover all of our three platform PC platform, mobile wap and mobile apps. Internally we track the number of sales we split among the three platforms. But because of the revenue is a blended fixed subscription cover all three platform. So it’s typical for us to say, our mobile wap platform generate how much revenue, because that was not done in that way, our present one who doesn’t support that so that’s what. And secondly, is our advertising services currently? Yes, some car makers are doing advertising business with us so there are a small percentage of the revenue generated from the mobile app and mobile wap. But at this point let me give you a conservative guess, it’s less than 5% of the OEM advertising dollars spend on mobile wap and mobile app all together.
Operator: Your next question comes from the line of Gregory Joe from Barclays. Your line is open. Please go ahead.
Gregory Joe - Barclays: Hi James, Nicholas thanks for taking question and congratulation on the strong quarter. I have three very quick questions. First, I think we made some very good progress on the used car side. So I want to ask for the used car, what do you think is the best monetization way and do you think the transaction based business model can also be used on used car? This is my first question.
James Qin : Okay. I’ll take crack on your first question. Currently, we do not generate any meaningful revenue from the used car business meaningful because we believe that the industry is just view too early to generate any meaningful revenue. However, having said that, we watched some of our peers, if they generate a lot of revenue from the used car business trust me we don’t change our sales model overnight. But we do believe right now used car market sizably maturing for us to generate revenue, because majority of China’s used car transaction done to C2C rather than P2C because of China’s regulation as well as the attacks.
Gregory Joe - Barclays: Okay. My second question is, currently while our sales guy only want to approach a new auto dealer client, so what do you think that the dealer they care mostly about the traffic on PC, only on PC or from mobile or other kind of dealer services?
James Qin : Dealer only care about making money, because the majority of, if you look at those leaders some of them just in Hong Kong Stock Exchange. So it think they are very practical, they worry about going forward their profit generation capability. So I think that was positive reason we have a very good first and second quarter because they felt the pressure of where we can help them sell more cars and in turn generate aftermarket services for them, will tend to get their wallets. So that’s good for us.
Gregory Joe - Barclays: Okay. Thank you. My last question to you is about Baidu PC Aladdin. So our estimate currently, will the traffic and the -- you need really the contribution increased by the Baidu Aladdin and compared to the traditional Baidu search so -- for the quality of that conversion rate of the Baidu Aladdin. Thanks.
James Qin : Okay, yes, we do have some DAU increased through the Baidu Aladdin project, but that was sort of two factors together because definitely the Baidu Aladdin will give us some number of new visitors who traditionally will not visit Autohome because they are at the top of the funnel. So they don’t know Autohome first. But having said that, there will be some number of visitors which tend to use Autohome’s natural search results not because of Autohome being the number one search result on PA Aladdin platform to click on PC Aladdin, so basically in a sense some of which traffic supposed to be mine. So this is two factors together. So it’s really difficult for us to split whether or not the between new-new and mine but still from Aladdin, but I think in general our estimate is PC Aladdin match our expectation in terms of absolutely new DAU generation and also in terms of the behavior of those users in terms of related to monetization.
Gregory Joe - Barclays: Okay, and how about the conversion rates -- I mean convert to transaction and convert to lease?
James Qin : It’s still in line with our expectation.
Operator: Your next question comes from the line of Tian Hou of T.H. Capital. Your line is open. Please go ahead.
Tian Hou - T.H. Capital: Related to your Baidu Jesing program, and I think it's great to really win this bidding and to generate more traffic. And I wonder you know since we all know Baidu Jesing program is quite expensive, I wonder how should we look at your operating margin going on forward? That is number one question. And then number two, maybe today used car business is not so ready yet but I really want to know what kind of preparation for you guys are doing to prepare you for upcoming maturity of this part of market? Thank you.
James Qin : Let me answer your first question on margin actually I have talked about it in earlier discussion. According for 2014, it has you can see that so far year to-date we have strong performance in both the revenue and margin because on one hand we’re able to gain operating leverage as you can see that continuous increase on the gross profit percentage, but we always want to reinvest back into the business in mobile, the traffic position that you talk about. So for 2014, we expect that a non-GAAP net margin will be similar to what we have averaged in this area for the last three calendar years so higher than mid 30s, but because we do not provide former guidance on the margin and bottom line. I think for the out years like 2015 actually it’s too early to provide or give any estimates for the next year. What we can say is that, we will work to balance achieving operating leverage and reinvesting in business initiatives to help take advantage on the market opportunities and gain market share.
Nicholas Chong : I will try to take the answer on used car operation. I think currently there are two major challenges or obstacles if I may say with regard to the used car business development. The first one is the government regulation on the [indiscernible] so they control the used car which registered in other cities to be registered in current city. For example in a city close to Beijing which is Baldwin unfortunately it has to be meet emission standard, a very high emission standard, and also it will be bought within three years and then Baldwin can only allow those used car to be registered in the city of Baldwin. So currently in China, there are about 13 cities only allow the emission standard above China’s national fire service to be registered in that city and there was other 250 cities only allow with national standard number four to be registered in that city and that basically make sure majority of the old cars cannot be sold or transacted outside of this original city. So that’s one, the second one is about the tax. In China, there is used car transactional tax is called value added tax is about 2% of the whole car the transaction value and unfortunately it cannot be always on chaser to - I only know the Chinese [Foreign Language]. Cannot be deducted and that for one the transaction between a customer and a company. So, that’s why majority of China’s used car transaction either is done locally will be looked at as done from a consumer to consumer. I think if those two articles are not looked at China’s used car business or used car market is typical for the used car market to flat. And from our point of view at this point even the used car market is a very little bit developed that all we can do is that make sure we provide the best user experience and by doing that we think we can put a very strong foothold in case the used car market is really slight, we can capture that. We are probably tracking where we’re more anxious than most of you guys to wait for the used car market to flow and then we can take the advantage of that.
Operator: Your next question comes from the line of Chao Wang from Nomura. Your line is open, please go ahead.
Chao Wang - Nomura: Hi, thank you for taking my question. Just one, what do you think is the impact from the new regulation on auto dealer industry announced recently, if any? Thank you.
James Qin : Yes. To be honest we watched closely our data. I think in the near term you won’t have a meaningful impact because this is only the levy from it is called a - it’s only one thing from SAIC that this is means that in the future those car dealers, they basically not have to register whereas [indiscernible] with the SAIC. However, currently the limitation of those dealers are put by the car makers rather than SAIC. I think without that change the whole industry landscape won’t change. That always basically show the government want to be open minded and promote the marketing comics which in general tend to be a good sign for internet business. Alright, thank you very much for joining us today. And we appreciate your support and we look forward to updating you on our third quarter 2014 conference call in the few months plan. In the meantime, please feel free to get in touch with us if you have further questions, concerns or comments and thank you everyone.
Nicholas Chong : Thank you.
Operator: That does conclude our conference for today. Thank you for participating. You may all disconnect.